Operator: Good day, everyone. Welcome to the TransAct Technologies Fourth Quarter 2020 Earnings Call. Today’s conference is being recorded. At this time, I would like to turn things over to Mr. Marc Griffin, Investor Relations. Please go ahead, sir.
Marc Griffin: Thank you. Good afternoon. And welcome to TransAct Technologies fourth quarter and year end 2020 earnings call. Today we’ll be discussing the results announced in our press release issued after the market close. Joining us today from the company are Chairman and CEO, Bart Shuldman; and President and CFO, Steve DeMartino. Today’s call will include a discussion of the company’s key operating strategies, progress on these initiatives, and details on our fourth quarter financial results. Then we will open the call to participants for questions.
Bart Shuldman: Thank you, Marc, and thank you to everyone joining us on this call today. As you were all aware, the global pandemic remains persistent. But we are beginning to see improvement in our key markets as customers are calling again and answering our calls. We do sense a change in the environment in our markets with the vaccination process accelerating, confidence in our business and markets are starting to grow. While we have all experienced difficulties associated with a global pandemic, we’re becoming more optimistic about the future that lies ahead. We are pleased with our execution throughout this challenging year and we ended 2020 on a better note with an improved quarter. We are particularly pleased with the strong momentum in our foodservice technology market, which saw accelerating growth throughout the year. If I -- as I have said to many investors many times, it’s all about the installation of hardware terminals and workstations for TransAct and the good news, we ended the year with 5,688 paid terminals installed in the market, a growth of over 100% compared to how we ended our fiscal 2019. As Steve will discuss in detail later during this call, our preliminary fourth quarter total net revenue declined 30% year-over-year to $7.8 million in line with our guidance of $7.5 million to $8 million and we recorded an EBITDA loss of $2 million and adjusted EBITDA loss of $1.7 million. We delivered quarterly gross profit margin of 30.6% and diluted EPS loss for the quarter is $0.22 a share. Joining the good news about the terminal installations in fiscal 2020, our foodservice technology recurring revenue continued its growth and we ended fiscal 2020 up 96% versus FY 2019. Now let’s remember, the impact on the stores and restaurants being closed earlier in the year and the significant slowdown we experienced during the Christmas time as the virus and pandemic expanded once again. But we were still up on our recurring revenue by almost 100%.
Steve DeMartino: Thanks, Bart. Good afternoon, everyone. We’re pleased with the progress TransAct have made in the fourth quarter and throughout the challenging year of 2020. Turning to our fourth quarter results, net sales was $7.8 million, which was down 30% from $11.2 million in the fourth quarter of last year, but up 6% sequentially compared to Q3. Net sales for our foodservice technology market, or FST was up 55% to $2.8 million from $1.8 million in the fourth quarter of last year. Our FST hardware sales increased 65% to $1.8 million from $1.1 million in the year ago period and we ended the quarter with 5,688 paid terminals in the market.
Bart Shuldman: Thanks, Steve. Great job. As we look forward -- towards our 2021, we are optimistic about the momentum we are seeing in the restaurant and convenience store markets, and remain confident that BOHA! is on pace to become our largest ever revenue generating opportunity. Our focus is on driving the success for BOHA!, as we’ve determined to leverage our position in this emerging market to grow our business and create significant long-term value for shareholders. Remember, it’s all about the terminals. Finally, we’ll be participating in the 33rd Annual Roth Conference on March 15th and 16th. Please see your Roth associate for more information if you’d like to participate. Clearly, I’ll be there. At this point, I’d like to turn the call over to questions-and-answers to our listeners. Operator?
Operator: Thank you.  We’ll hear first today from Jeff Martin with Roth Capital Partners.
Jeff Martin: Thanks. Good afternoon, Bart and Steve. Hope you both doing well.
Bart Shuldman: Thanks.
Steve DeMartino: Hi, Jeff. You too.
Jeff Martin: I wanted to start with Apple, $50 million of potential revenue in the pipeline. One, could you explain what that means in terms of definition of pipeline, is that you’ve made first contact with the prospective customer or was it -- is it defined as something differently? And secondly, are you in the pilot stage with any of those prospects and any idea when you might close your first sale there?
Bart Shuldman: Yeah. So the -- so we have a sales force program that we use. And over this last year, we kind of revamped it a little and what we only want in our sales pipeline numbers are our potential orders that we’re working on. For instance, if you look at our -- convenience store customer, while we’ve shipped them so many thousands of terminals and still have many thousands to go. That’s not in the sales pipeline number. That’s a closed order and that goes into a different spreadsheet. What we’re following is all the new potential orders that could be coming to TransAct and the only way they make our list is not that we contact with them and they answer a phone call and that was it. They have to show true interest in moving forward with the discussion and then it’s different phase gates. There could be a multiple team meeting between us and them. Then it comes down to, okay, do we have to sign a non-disclosure. So there’s different phase gates. And then there’s an evaluation and then there could be a pilot, and then a close. The amount of opportunities that we have, in fact, I got a sheet right here. They range from -- they’ve made it through qualification, all the meetings have been set, the biggest number is where they given us their menu items and their data. That means that we’re working on putting together all of their menu items and data into our system and getting ready for a test. Now it could be a pilot or it could be evaluation, and then, of course, goes to close. So we’re very excited that with the help of Apple we’ve identified that much business that we’re working -- truly working on. Doesn’t mean it’s going to close and some of it is long-term. There’s some pretty big customers in this pipeline and they tend to move a little slower than somebody that’s got 20 restaurants or 30 restaurants. But we’re very excited of where we are. I would expect a few to close this year. You know that, they might not be in the bigger category. They might be in the small to medium category. But based on the conversations that we’re having and the tests that are going on, I would expect some to close this year.
Jeff Martin: Okay. Great. And then, you mentioned, Apple’s interested in expanding their relationship to other markets. I am just curious what markets they are looking at?
Bart Shuldman: Exactly all. So we’re working with them in Asia right now on an opportunity and we’re working with them in Europe on an opportunity. So they’ve introduced TransAct to their global sales team. So they have a sale team in Europe and the sales team in Asia. And together, we’re identifying certain customers that will be right for this type of technology. So we’re very excited. I can tell you this, Apple is holding a restaurant seminar in April and their plan is to invite somewhere between around 200 restaurant companies to attend and there’s only three of us presenting. We’ve actually done a seven minute video for them. And then we’ll be presenting to the many restaurant executives that are attending the meeting. Sometimes it’s interesting, Jeff, sometimes you get involved with a big company, they promised the world and then some new boss comes in or they set a different direction, all suddenly, you look and say, what just happened, I thought we’re going in this direction together. I will say, at this point, and it could change, but at this point in the relationship with Apple, they have stayed amazingly focused on growing our restaurant business. They keep telling us they’re in it for the long-haul, they have shown us nothing but the stack and they’ve shown us nothing then they’re working hard to get us the leads and the opportunities in the marketplace. So at this time, where I stand right now, today, I could not be more thrilled with the relationship.
Jeff Martin: Any other things you are progressing at or ahead of expectation or if could you give us some insight into hiring plans on the sales and support side of things. Are you at the point where you’re going to need to start staffing up or do you still have a path of either service to lead as well?
Bart Shuldman: Well, I think, the international opportunities going to challenge us. So we’re looking at that very closely to see what we would have to add. Because that’s a whole another market that we haven’t even analyzed yet, right? We’d like to say there’s 1.4 million opportunities in the U.S. alone to use our technology, we have not even stacked out what the rest of the world looks like. But we are starting to have conversations about how to support them and as those leads come in, what we’re going to do to support them, we want to be there to help them out. Jeff, the one thing that was difficult, I will tell you was this winter, when that pandemic took off in October, November, December, when we came out of September, we were really excited because things were slowing down, the pandemic was slowing down and the amount of action in the marketplace was picking up. And then the pandemic hit again and real -- I mean it was much larger than what it was just a year ago. So that kind of slowed our hiring down. We said let’s slow down again, because let’s get through this. I’m for one extremely excited about the vaccinations that are going on. We are starting to see states open. We could all have our opinion on whether it’s too early or not. But we do know that now 10% of the population have vaccinated. So many people have had the virus. There’s much brighter light at the end of the tunnel than we’ve ever seen. So as we see that continue to develop. We are -- we keep talking internally about how customers are probably calling us again and how they’re answering our calls. So as we see that continue to develop, we will add where we need to both on the sales side, big on the marketing side. And I think I’ve made this comment a couple of times that it’s tough when we can’t get into somebody’s office, right, we’re still doing zoom and team meetings and so a lot of it is marketing. So you’re going to see our marketing spend really pick up next quarter. We -- with Apple’s decision to do this major event for the restaurants and have us as one of the speakers, we’re backing that up with a pretty good marketing spend in the trade magazine. So you’ll see our marketing spend pick up. But again, we can do that without hiring more sales people, because the leads will come in from the marketing spend and coming from the Apple event. Where we will probably need people is on the installation and also on the software side.
Jeff Martin: Okay. And then increased marketing spend pickup is Q1 and Q2, and we say next quarter…
Bart Shuldman: Q2.
Jeff Martin: …I am not sure, I mean, this quarter…
Bart Shuldman: Q2.
Jeff Martin: Okay.
Bart Shuldman: So I’d say, we’re going to marry up to Apple’s major event that’s going to go on in April.
Jeff Martin: Got it. I’ve got a couple more questions but I’m going to circle back around but I am going to stop in here .
Bart Shuldman: Okay.
Operator: We’ll hear next from Chris Howe with Barrington Research.
Chris Howe: Good evening, Bart and Steve.
Bart Shuldman:  Okay.
Chris Howe: Yeah. I guess, first off, some more color on this first restaurant sale, 13 restaurants, part of the multi-concept full service restaurant company. Perhaps you could provide some color, just on how this deal initially came about? And is there the potential for more after this within this full concept restaurant company?
Bart Shuldman: Yeah. So this is actually a really good story, because this is a full restaurant company that we asked if we could trial some of our new technology at without any commitment. We said, you’d like to come in, we need a field location to test our technology. We clearly we wanted to use our BOHA! ROP, our new workstation and all that. And so we ran a test at two locations. And we didn’t do labeling. We did a whole bunch of tech -- have solutions with them. And the good news is, when we got done with testing the system out and understanding how it was working and all that, they came to us and said, look, we’ve got a chain of restaurants in one side of our business that’s we’d like to roll out 13 systems there. We’ve got other restaurants too. But we’d like to start out with those 13 and we’re willing to sign up. And actually the purchase sort of came in last night. So this wasn’t done on purpose and waiting for an earnings call, literally the purchase order came in last night. So we were thrilled to be able to share that as quickly as possible with our shareholders. So if -- we need that opportunity to test in the marketplace and this restaurant company gave us that opportunity. And the best part about it is they loved it so much they bought it and they bought it -- as you have seen in the press release they bought a lot. We’re going to be measuring the temperature and the walk into freezers and taking temperature and do labeling. So the fair amount of technology that we’re rolling out in these 13 restaurants.
Chris Howe: That’s great. I appreciate that color. And just going along the path of that question, following up on Jeff’s question about Apple, expanding the partnership or the scope of it to include global markets? Europe seems to have an uneven reopening. Asia seems to be coming back faster than we have North America. How should we think about expectations on a geographic basis? Will things concentrate more domestically and the global markets could be a further out opportunity or is that not the case and this will be all hands on deck global outreach for this?
Bart Shuldman: Yes. So the easy answer is, if somebody comes in with an opportunity in Japan, for instance, we’re going to jump all over it. This -- so in looking at our sales force pipeline, everything is domestic -- oh, no, that’s not true. There is one in Europe that we’re working on. So I would say that the early wins are going to be domestic. When you first get started with a customer, it doesn’t matter if it’s domestic or international. It takes a couple of months to have conversations back and forth. How does the technology work? What added to replace what we have? There’s a lot of conversation that goes back and forth to the point that, okay, I get it, but let’s do a test in our office. So we’re months away from that, if not half a year away from that. I think the more exciting piece to me, Chris, is that Apple was willing to bring us into the international market, that they felt that strong about our technology that that’s what they were willing to do. But it’s not a story that we’ll talk about a lot this year, because the sales cycle is easily 12 months to 18 months and we’re just beginning. So but it does give us the rest of the world to work on, which is expands all our total available market for our technology. So I kind of look at it in regards to being very humbled by a large company like Apple saying, look, we want to work with you in these other markets. We like what we’re doing in the U.S. We like what we see and we’d like to do that in the rest of the world. So I’m pretty humbled by that.
Chris Howe: That sounds great. I’m looking forward to how that develops. My last question, we’ve had a series of great announcements in the convenience store channel. As we look at each of the recent announcements, specifically, my eyes are focused on the international convenience store operator that you announced with potential rollouts of 650 total locations? If we look at these announcements in comparison to the rest of your convenience store portfolio, should we think about the cadence of rollout to be somewhat consistent in thoughts across each of the customers or has there been any indication from a specific or maybe a handful of customers that they expect a rollout to be faster versus others?
Bart Shuldman: Yeah. So we’re at the mercy of their rollout. So normally, though, they’ll take, let’s talk about this one to 650 stores, they’ve committed to doing 350, because that’s where they’ve rolled out their fresh food initiative. I would guess that over a quarter two all 350 will rollout. Then we’ll take a breather as they rollout fresh food to their other stores and then roll in the technology after that. So, it’s not going to be a very linear and predictable like kind of rollout. We looked at our large convenience or customer. I mean, that’s been nothing but unpredictable. But the good news is we’ve got the backlog. And we ended last year with over 5,600 terminals. We do believe that it’s going to grow nicely this year. We could be close to 9,000, 10,000 terminals by the end of the year.
Chris Howe: Yeah.
Bart Shuldman: We also believe that the recurring revenue will eventually have to come back. We witnessed good recurring revenue, we witnessed the label sales, when the pandemic wasn’t as bad in the summer, we did witness what it’s like when it gets bad and that’s what we’ve been going through. But the other thing that’s really good is, when you look at the restaurant side, there it’s going to be much more predictable, because they buy more software than labels. And so that side of the business will be a lot more predictable, because we’ll just going to build them every month for the software and then we’ll buy some labels, because it’s really the software that they’re using more than the labels, convenience stores are label and a lot of food. And that’s where we’re kind of hostage to how many transactions they’re doing and how many people are walking in the door. One of the issues that are they convenience so company faces is they don’t have gas stations. So when the pandemic hit, when it really took off again in October, November, not a lot of people stopped in to get something, but if you’re going to get gas and you might pick up some coffee, you might pick up a muffin or something while you’re there to get gas. So I think their business was more impacted than others because they just don’t have a gas station. But -- and there’s still more convenience store companies to close. So, we don’t have them all yet. But you will get them all, but there’s more convenience for customers to get and they’re clearly in need of label technology. So there’s more to go.
Chris Howe: Great and thanks for taking my questions. I’ll hop back in the queue.
Bart Shuldman: Yeah. Thanks, Chris.
Operator: We’ll move next to Mitchell Sacks with Grand Slam Asset Management.
Mitchell Sacks: Yeah. So question with respect to the casinos, obviously, part of the opportunity there is dealing with the slot machines, but could you talk about the opportunity with your relationships on their restaurant operations and kind of how you’re attacking that?
Bart Shuldman: So, last week we have had conversations with a certain casino group about using our technology below ground in their commissaries and all that where they prepare food. I got to say, Mitch, that we were quite successful in getting one casino group to really use the technology, but during the pandemic, everything shut down. So, I -- it’s hard to kind of indicate when casinos are going to be looking for technology other than waiting for casinos to be able to open and see travel happen again and see people at the slot machines and the tables of the restaurant and see the volume again. You’re probably talking to 2022 story. Restaurants are one thing. You can drive down the street and go to a restaurant. I mean, here in Florida, we have certain parts of Florida where you can’t get a reservation anymore. So many people have been vaccinated, that they’re willing to go out and the restaurants are packed and that’s great for us. It’s another thing when you think about I got to get in the plane and travel. So I think we’ll see a lag effect of the rest -- of the casinos looking at our restaurant technology. It’s not like we haven’t introduced it to them. But I think, Mitch, it’s probably a 2020 story just because of what they’ve been through and how much more they have to go until they’re back to being healthier.
Mitchell Sacks: Okay. And then the second question has to do with the order that we saw today from the restaurant chain. Can you just walk us through the different apps? The restaurant chain is taking and kind of contrast that with maybe the C-store customers and where they’re at in their development in terms of taking of apps.
Bart Shuldman: Yeah. So that’s an easy one, Mitch. What you see with that restaurant order is what we should start seeing from all restaurants, right? It’s a package -- ROP is a package of software that the restaurants will use to do multiple things in the back of the restaurant, right? So if I pull up the press release and we can look at it. Convenience stores will not do that, right? Convenience stores are just labeling. And we’ve said this many times that the value of the casino of the C-store customer to us is the service contract. Clearly, we’re charging them for software and lots of labels. However, when you look at what we’ve done with this one restaurant, it includes our ROP system, which is labeling, temp, sense, checklist, timer, media manager. So that’s a whole program that they get from us for one price. And that’s a lot more money than what we’re charging convenience stores, because they’re getting all that functionality, because they need all that functionality. In addition, what you also saw was a lot of hardware sells, right? You see that we’re selling the workstation. You see that we’re selling BOHA! sensors. And you see that we -- in order for the sensors to work it’s got to communicate to our BOHA! gateway. So you see that the value of the hardware sale is even higher, right? We’re not selling the $600 terminal. We’re selling sensors and terminals and gateways and all that. So you see that the initial hardware is much higher. That should be typical for restaurants, right? Well, that’s why we put this whole ROP thing together, because I think we confuse the restaurants because they want it. They want labeling. They want test. They want it. They want checklist. They want dimer. But they were confused,, okay, well, I got to buy this happened, this happened, this happened. How does it work? And you’re confusing me and we say, okay, look, we’ll put it all together one portal, you go into the portal, you see it all. And that’s what we did with ROP, right? You went to one portal and you see all the functions. So they’re no longer apps. They are functions. There’s a BOHA! labeling function, the BOHA! attempt function, the BOHA! sense function, the BOHA! checklist function, the BOHA1 time function. With convenience stores all provided with labeling. So you can see that they’re getting less software because of less functions but because they’re selling so much food as grab-and-go, we get a lot of label sales. Does that help Mitch?
Mitchell Sacks: Yeah. Very much. Thank you.
Bart Shuldman: That’s why, Mitch, when we look out and you look out a couple years and say, okay, we’re going to have a mixture now. Let’s say we go to 50-50 restaurants convenience stores, while the label sales could fluctuated. Let’s hope we never get into another pandemic and slow down and all that and what we went through, it’d be predictable because we’ll see what the cadence of orders will be. But on the restaurant side, when they’re going to, they’re buying software and that’s a monthly fee that doesn’t go away. So it’s not hostage to the volume of transactions that they’re doing.
Mitchell Sacks: Super. Thanks.
Bart Shuldman: Yeah. Thanks, Mitch.
Operator: We will hear next from Jeff Bernstein with Cowen.
Jeff Bernstein: Hey, Bart and Steve. Nice to hear from you guys. Just a quick question on gross margin, actually you cut out for a minute. Can you just talk a little bit about gross margin in the quarter and how we should think about the mix impacts there? I don’t know if there was anything unusual in it and how to think about it for ‘21?
Bart Shuldman: Yeah. So I…
Steve DeMartino: The gross margin -- okay, Bart.
Bart Shuldman: You start. Go ahead. No. Go ahead. Go ahead.
Steve DeMartino: I’m going to say for the fourth quarter on answer that question, Jeff. So, yeah, we did -- we were impacted by two things in the quarter. I mean, obviously, the sales volume itself was pretty low. We have a fixed amount of overhead so that impacts the overall margins. But we also have -- we wrote-off some tooling -- about $300,000 worth of tooling in the quarter, which is unusual charge. And the big order we got for terminals was at a lower margin. I think that’s probably what Bart is going to talk about now is kind of where we’re heading with the pricing on our hardware versus the software. So go ahead Bart .
Bart Shuldman: Yeah. Yeah. So, Jeff, the question that comes up to us is, how quickly can we get terminals into the marketplace, so that the following year we get all the recurring revenue. As long as we don’t lose money on the terminal, I’m open to whatever negotiation we have to do. And in fact, in this case, the customer wanted a package price. They’re actually paying us monthly. But because the terminal goes out, we actually booked the terminal as a sale even though they’re paying us monthly. Jeff, what’s important for us is how do we get to 30,000, 50,000 terminals, because of the recurring revenue. And if we have an opportunity like we had with the Sushi Company to win an order for 1,200. We replace an existing software package that wasn’t working for them. It’s -- I think we will go after it. We will not lose money on it. And of course, we didn’t lose money because we’re our gross margin was 30% and hopefully we don’t write-off any more tooling. But depending on the size of the order and the size of the customer, we weren’t working with some very sizable customers. This isn’t just a couple of 1,000 terminals with some of these customers. And should they negotiate hard, but we can get all that recurring revenue. Don’t expect that we won’t close that order. Because the following year, you’re going to sit there and go, oh, my God, look at all this recurring revenue at this much higher margin. So the question is and I keep telling every investor, focus on terminals, focus on how many terminals we’re getting into the marketplace. Because once they get out there, and look, the Sushi Company got announced at the end in December, we didn’t have much recurring revenue then as we get into the middle of this year, when they’re in full motion with that terminal, you’re going to see a lot of recurring revenue off of that and that’s at higher margin. So, the goal is to get terminals into the marketplace.
Jeff Bernstein: That’s great. As a large shareholder, we’re happy with that model.
Bart Shuldman: There you go out three years, four years. It’s fantastic.
Jeff Bernstein: Great, guys. Thanks.
Bart Shuldman: Thanks, Jeff.
Jeff Bernstein: Welcome.
Operator: We will go back to Jeff Martin with Roth Capital Partners.
Jeff Martin: Thanks. I wanted to get a sense -- I wanted to switch over the C-store pipeline, I wanted to get a sense of what your sales experience was with C-stores in Q4 and what you’ve seen so far quarter-to-date in Q1?
Bart Shuldman: So we’ve won a fair amount of them. We won the big one. What drives us towards a C-store is knowing they’re doing fresh food and grab-and-go. Once you get past that top seven or eight C-stores, as much as 140,000 in the country, you get down to C-stores that have 50, 35, 75 stores. So what we’re focusing on is two things, Jeff. First, are they doing fresh food or some type of grab-and-go, were they need the label and then the size of the opportunity. So we have a couple that we’re working with right now that are sizable and we’re working with them to try and close them on our technology. The -- like I said, the interesting thing about the marketplace is, once you get past like the top seven or eight, they get kind of small. And now as we get into the restaurant industry, we’re starting to talk to some very large restaurant companies. We’re trying to hunt and farm where there is really good size opportunities, so because every opportunity takes time. So, but the C-store market has been good for us. A lot of it came directly to us. So we’ve got a couple on our list that we’re working with. And as you see, I think, we close two this quarter. So we’ll continue to try and close the remaining ones that are right now on our sales pipeline.
Jeff Martin: Okay. And I got one more if I may, the first is a two part question. First part is with respect to 7/11 and the rollout plan, have they given you a clearer picture for this year or even this year and next year? And then, secondly, if you were to get to 9,000 or 10,000 terminals by the end of the year, how much of that will come from C-store and how much of that will come from ROP?
Bart Shuldman: Wow, so, wow, considering we closed a bunch of C-stores and we’ve got a more to go for 7/11. That’s a great question. I would say, half C-stores and half restaurants.
Jeff Martin: Okay. And then with respect to 7/11 plan roll out for this year, next year, have they given much indication, we have a clear, you have visibility on this what am I asking?
Bart Shuldman: It’s -- they actually don’t give us a purchase order, right? They don’t say, here’s what we’re buying in 2021. But they do give us an indication. And I think it’s going to be steady as we goes. We’ve always told everybody it’s going to roll out over a couple years, three years, four years. I mean, there’s no doubt in 2020 we fell behind, they fell behind just because of the pandemic, the stores being closed and all that. But they’re back up and running to where they -- we thought they would be. And so we’ve got a couple more years to go to keep rolling it out and they seem to be very happy with it. So it’s going to be business every year as they get to their goal of 10,000 and then the question will be how many speedways do they do? That we don’t know, Jeff? We do -- waiting to hear from them, will they increase the 10,000 to include so many speedways. We have not heard yet?
Jeff Martin: Okay. Great. Good luck with the Apple seminar on April. I’d look to get at that.
Bart Shuldman: Yeah. Yes. Good. Yeah. We did a great job of beautiful video and some of it will be on our website soon. So you will see customer testimonials on the website. You’ll see a demonstration and technology on the website. So once we get through the Apple events, then you’ll -- we’ll start putting stuff up for you. You’re starting to see a change to our website. We’re kind of stuck in an old server, which will take us probably another three months, four months to change, but if you go to our corporate website right now, you’ll see that it’s been changed. You can click on the different sections of our foodservice technology, you can look you can click on C-stores and quick serve restaurants and casual and all that, and then eventually you’ll start seeing some customer testimonials on there too. So we’ll be quite excited once the Apple event ends and to be able to post that all up on the website.
Jeff Martin: Great. Looking forward to seeing that. Thanks for your time, Bart.
Bart Shuldman: Yeah. Yeah. Thanks, Jeff.
Operator: And gentlemen, at this time, I’d like to turn things back to you Bart for closing remarks.
Bart Shuldman: Yeah. Hey. Well, it’s been a great call. It’s about an hour. Really appreciate it. Again, for those that have the opportunity to join us Monday, Tuesday, next week at the Roth Capital. The only thing I can say is I’m going to miss being in Southern California. I think the Roth Capital people throw one of the best parties and best to conferences there is and one day we’ll all hopefully be together and be able to do that again. But really appreciate everybody’s support. You can see the excitement that we see in front of us, despite one horrible, horrible, March and April and May, through the beginning of this pandemic. I think we came out of it as strong if not stronger and we’re just excited about the future. So look forward to talking to everybody next conference call. If not, I’ll talk to you at the Roth Conference. Thanks, everybody.
Operator: And that does conclude today’s conference. Again, thank you all for joining us.